Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, President. Please go ahead, ma’am.
Kathleen Quirk: Thank you, and good morning. Welcome to the Freeport-McMoRan conference call, and happy 2023 to everyone. Earlier this morning, we reported fourth quarter 2022 operating and financial results, and a copy of our press release and slides are available on our website at fcx.com. Our conference call today is being broadcast live on the internet, and anyone may listen to the call by accessing our website homepage and clicking on the webcast link for the conference call. In addition to analysts and investors, the financial press has been invited to listen to today’s call, and a replay of the webcast will be available on our website later today. Before we begin our comments, we’d like to remind everyone that today’s press release and certain of our comments on the call include forward-looking statements, and actual results may differ materially. Like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our SEC filings. On the call today with me are Richard Adkerson, our Chairman of the Board and Chief Executive Officer; Maree Robertson, our CFO; Mark Johnson, our Chief Operating Officer of Indonesia; Josh Olmsted, who is our Chief Operating Officer for the Americas; Mike Kendrick, who leads our molybdenum business; Cory Stevens, who heads our Engineering and Construction and overall Global Technical Services Group; Rick Coleman, who is actively involved in all of our construction projects; as well as Steve Higgins, our Chief Administrative Officer. So, we have a full complement of management team here today. And we’ll start -- Richard will make some opening remarks, and then he’ll turn it back to me and we’ll cover the slide materials, and then we’ll open up the call for your questions. Turn it to you, Richard.
Richard Adkerson: Yes. Thanks, Kathleen. Thank you all for joining us today. As Kathleen said, after my overview remarks, which will be brief, she will review our results for the quarter. It was a strong fourth quarter. The numbers speak for themselves. It reflects the performance of our global team, and I much appreciate everybody’s hard work. I read one of you said this morning in a report, mining is a tough business, and it certainly is. Nobody knows that, I think, better than me. But what we’ve done and is reflected in our results for 2022 and particularly the fourth quarter, is remarkable. Most of you, who know our business and maybe all of you do, recognize the need to look at Freeport into two major segments. Our operations in Indonesia by PT Freeport Indonesia is characterized by very large volumes, very low cost because of the grades and the gold content, largest gold mine in the world is a byproduct. As you’ll see in the fourth quarter, it operated as the world’s second largest copper mine with a net unit cost of $0.06 a pound. Our business in Americas is quite different. We have among the largest mines in the world, the mines have low grades, there’s much more material to be processed, to be mined and processed to recover the copper, and it’s an operation that gets challenged by low copper prices and factors like inflation. But when you look at the results and what our team has done this year, it’s been very positive. It’s also characterized by having some large future brownfield expansion opportunities, which is particularly meaningful given the situation of the copper in the world. Indonesia, it was just rock-solid performance. We’ve been operating underground there for 40-plus years now. We’ve been investing in the current underground operations that we have been ramping up over the past three years to become the largest underground mining operations in the world for the past 25 years. It just reflects the long-term nature of our business. The last three years have really been notable. We completed mining the Grasberg open pit, which had been the bulk of our operations since the discovery of the ore body in the late 1980s. We completed mining that pit at the end of 2019. Then early in 2020, we faced COVID. And for years, this transition was viewed as a risk overlying Freeport’s business. And it’s just a major accomplishment that we’ve reached our targeted mining and metal production targets that is what’s arguably the most complicated mine in the world. And it’s all results of the hard work and accomplishments of our team there, very proud of them. The Americas business has done very well in meeting the challenges that we’ve had there, dealing with inflation, dealing with a period of low copper prices, we have issues that are challenged in terms of getting workers for our operations in the Americas. Our operation in Peru was facing a severe challenge with COVID that they manage very well. The political situation in Peru right now is very complicated. There are protests throughout the country. Our team is doing very well. We are continuing to manage housing, feeding our people and continuing our operations. We are slowing down a bit to make sure we have supplies for the long run, but we have support by our workforce and fundamental support for our business by the local community there because we’ve established such a great relationship with them. So we are -- as we look out now trying to predict short-term copper prices is very difficult. We actually don’t even try to do it ourselves. We deal with short-term negative movements when they occur by having a strong balance sheet and a conservative financial policy. It’s actually good to see right now that market sentiment going into 2024 is much improved over the end of -- going into the fourth quarter. But we are on the outlook for the well-known risks that the world faces today, and we’re prepared to deal with it. We are a long-term business. And we -- everything we do is focused, not on the short run other than to protect ourselves by having a strong balance sheet, managing our business in the right way, but our success is going to be measured over the long run. And copper’s long-run outlook is increasingly positive based on fundamentals of demand and supply. We committed to copper 20 years ago when we were a single asset company, the rationale for acquiring Phelps Dodge more than 15 years ago is being reinforced today by the combination of this really special mine we have in Indonesia and the global operations and growing operations that we have in the Americas. It was the right decision 20 years ago to focus on copper and is the right decision now. Kathleen?
Kathleen Quirk: Thanks, Richard. We’ll start on Slide 3, which summarizes our performance for the full year 2022. And just a couple of notes on the fourth quarter from our press release. We finished the year with a strong fourth quarter. Copper and gold sales exceeded our October guidance. And our consolidated unit net cash costs of $1.53 per pound in the quarter were better than our estimates going into the quarter. With average copper realizations in the fourth quarter of $3.77 per pound, we generated strong margins with fourth quarter adjusted EBITDA at approximately $2.25 billion. Looking at the year, we are proud of the performance of our team stayed focused on effective execution and on driving results in a volatile macroeconomic environment. After successfully growing our volumes in 2021 by 19% for copper and 59% for gold compared with 2020, we achieved another year of growth in 2022, with 11% higher copper sales volumes and a 34% increase in gold volumes. Our team in Indonesia has successfully and materially grown production levels in a sustaining large-scale, low-cost production at the world’s largest underground mining complex. In the Americas, our teams in Peru and Chile proved resilient in restoring production during 2022 that had been impacted by the pandemic. And our teams in the U.S. maintain production at 2021 levels despite ongoing labor shortages and we also made significant advances on new technologies to enhance value. For the year, we generated $9.5 billion in adjusted EBITDA, and that was a year of dramatic swings in commodity prices and cost drivers. Our operating cash flows for the year, which were net of $1.5 billion in working capital requirements was in excess of our capital investments in our operations, and we nearly tripled our cash return to shareholders, pursuant to our performance-based payout policy. We ended the year with net debt, excluding the debt associated with our smelter of $1.3 billion, and that’s substantially below the level of mid-2021 when we initiated our performance-based payout policy. On Slide 4, you’ll see we’ve listed notable accomplishments during the year. In addition to driving value in our operating and financial areas of achievement, we’re very proud of our work with third parties to validate all of our operations under the Copper Mark standards, the measurable progress we’re making on our climate initiatives and the expanded disclosures we’ve developed to enhance transparency and accountability. We’ll talk about markets next, and we’ve got a slide on Page 5. We experienced significant volatility as many of you have seen during 2022, with copper prices trading from a high of $4.87 per pound earlier in the year, falling to $3.18 per pound midyear and partially recovering to $3.80 per pound by year-end. Prices continued to move higher in early 2023 to a level currently approximating $4.25 per pound as several of the macroeconomic clouds began to lift. We discussed on prior calls that the dramatic moves in 2022 have been largely -- been based on sentiment rather than fundamentals. The facts are that the physical markets for copper have remained tight even during a period of weaker economic data coming out of China, and that’s evidenced by the low levels of available copper inventories throughout the year. At the same time, copper’s importance in the economy continues to grow as a result of the intensity of use in clean energy applications and the global acceleration of electrification. We believe we’re still in the early innings of a broad-based secular driver of long-term demand. The ability of the industry to meet this multiyear period of growing demand continues to be challenged, leading to large market deficits in the future. You read about these challenges every day, and it’s getting harder, not easier, higher long-term prices are needed to incentivize new supplies. We’ve lived through the ups and downs in the copper market. We’ve effectively managed our operations and balance sheet during periods of volatility, and we’re prepared for this, but we believe the long-term fundamentals point to a real step change in how copper is valued in the economy. Turning to our reserve position on Slide 6. We benefit from a geographically diverse high-quality portfolio of copper mines with significant exposure to gold and molybdenum. Our strategy, as Richard discussed, is centered around being foremost in copper. And we benefit from a portfolio of assets with characteristics that are very difficult to replicate. We show our reserve position at the end of 2022 with over 100 billion pounds of proved and probable reserves. We have an average reserve life of over 25 years. We added twice the amount of reserves we produced in 2022, principally at our U.S. mines in the Morenci and Safford Lone Star districts where we’re focused on future growth. In addition to proved and probable reserves, we have enormous mineral resources of 235 billion pounds of copper. Over half of this is located in the U.S. where we have established operations, a great track record and a valuable franchise. We’ll continue to work as we go forward to convert these resources into viable mine plans and future production. It’s an extraordinarily valuable resource position in a world that’s going to need more copper in the future. We wanted to focus a little bit on molybdenum on this call. And on Slide 7, we’ve got some information about our molybdenum business. We’re a leader in that industry. We’re the world’s largest producer by a significant margin. And with the price move over the last couple of months of over 50% in molybdenum, we thought you’d be interested in learning more about our business. We produced 85 million pounds of molybdenum in 2022, and that’s comprised about 60% from copper mines as a byproduct and the balance from two primary molybdenum mines that we operate in Colorado. And these are the only primary molybdenum mines that are currently operated in the United States. We also operate downstream processing facilities to produce products that are used in a broad range of metallurgical specialty steel and chemical applications. The price moved from $18 per pound at the start of the fourth quarter to over $30 per pound currently has been driven by some of the same supply issues that have impacted copper. And in addition, demand drivers continue to be supported from the oil and gas, aerospace and power generation sectors. So, we note on this slide, the impact of a $5 change in molybdenum prices, it’s material at $400 million in annual EBITDA and $375 million in cash flow. And the recent move of over $10 per pound, if sustained at a higher price, adds additional leverage to our results. Looking at our operating stats for 2022 on Slide 8, you’ll see our sales for the year were about 35% from the U.S., 28% from South America and 37% from Indonesia. In the U.S., our sales were similar to 2021 levels, and we grew sales volumes by 10% in South America and by 20% in Indonesia. In the U.S., we’re continuing our focus on productivity, given the current limitations on adding to our workforce, we’re taking advantage of technology advancements and opportunities to expand production from leaching at low incremental cost, and we’re planning our next phase of growth, as we’ll talk about in a few minutes. As discussed, the biggest resource position and source of long-term growth we have is a real opportunity in the United States. In South America, both Cerro Verde and El Abra grew production in 2022 in a complex social and political environment. After successfully recovering from the pandemic-related interruptions in 2022, our team in Peru is now dealing with challenges associated with civil unrest that you’ve all read about. We’re prioritizing the safety and security of our workforce. We’re navigating disruptions to transportation routes and supply chains. To date, the impacts have not been significant but the situation is dynamic day by day, and we’re watching it very carefully. The bottom of the chart shows the 2022 cost performance. As we’ve talked about on prior calls, we experienced significant inflation pressures across the business during 2022, particularly for energy and other commodity-related consumables, and in the second half of the year, started to see inflation from a rising cost of materials, supplies and services. The situation started to improve in 2022 with a number of the commodity-related consumables, but we’re still dealing with costs in excess of historical levels. If you look at the average cost for the year at Grasberg of $0.09 per pound is remarkable, particularly in the context of this cost environment. Richard talked about the significant success story of the Grasberg transition, and we’ve got some details on Slide 9, significant success for not only Freeport but also something for the global mining industry to be proud of in the country of Indonesia. We started planning for this transition over 25 years ago, and the team has just done an outstanding job. We benefit from the fact that several from the team who were involved in the planning of this project, including Mark Johnson, who’s on this call, stayed with it over this period. And over the years, we’ve added great talent to our team with experts from around the world. The success of this project, the mutual respect built over the years between Freeport, the government of Indonesia and local communities has established a really strong foundation for the future. We’ve got the opportunity with this resource to plan a new phase of development longer term and are continuing to discuss with the government the opportunity to extend our long-term partnership beyond 2041. If you go to Slide 10, we’ve got an update on our smelter project. And this is our key feature of our commitment to the Indonesian government, was to expand domestic copper smelting and refining capacity in Indonesia. We’re making really good progress on constructing the new smelter in Eastern Java, it’s near our existing smelter, PT smelting at Gresik. You can see from the pictures that construction is advancing. We’ve got thousands of workers now on site. We’re working very closely with our EPC contractor to try as much as possible to make up delays that were caused by the pandemic. We reached a milestone of over 50% completion recently and we are expecting to begin commissioning the smelter during 2024. As you recall, the capital investments for this project are being funded from a successful bond offering that PT-FI completed during 2022. And so, we have the funding between the bond offering and a revolver at PT-FI to fund this project. Moving to our growth outlook. This is exciting opportunities for the company, and we continue to plan our next phase of growth. We’ve got benefit from having multiple organic projects to develop within the portfolio over time. We operate all the mines we have interest in. We’re able to share experiences, new technologies, operating synergies and best practices across the portfolio as we develop projects, and we can direct capital across the portfolio to the highest value opportunities. Our proven technical capacity capabilities and management is a notable strength. And importantly, we’ve earned a track record and a reputation for operating sustainably and responsibly. The world, we believe, is going to need all of our projects and more. The project with the shortest lead time is our Americas leach initiative. We’ve talked a lot about it in recent calls. The economics are compelling, low capital intensity, low incremental operating costs and a low carbon footprint. The new data analytics capabilities, we are continuing, to be applied to prioritize our work streams on the highest value. We’re continuing our work to apply covers to the leach stockpiles because of the benefits that you get from heat retention in enhancing recoveries, and we’ve identified new areas that were not pursued historically. We’re also continuing to test various additives that can further enhance recoveries. This is a really significant opportunity for us. We’re continuing to target a run rate of 200 million pounds per annum by the end of this year and success of this level -- at this level would provide opportunities to scale larger. We’re in a great position to lead this innovation with our long history in leaching and large inventory to work with. At our Bagdad mine in Northwest Arizona, we’re progressing a feasibility study to double production at that site. We expect to complete the feasibility this year, and we’ll be in a position to assess options on how we time the future development. We started advanced planning to commence construction of a new tailings site that would support the existing operation, but would also provide flexibility for the expanded production. And as a brownfield expansion, this project could be developed more quickly than a greenfield development. Our Lone Star opportunity is really something special. We’ve been successful in increasing production levels substantially above the original project. And we’re really in the early stages in the development of this mine, as we mine the oxide ores more quickly, we’re opening up the opportunity for a major sulfide development long term. The resource is massive. You’ve seen the numbers, 50 billion pounds of potential resource here. We’re doing a lot of drilling. And importantly, it’s located in an established mining district in the U.S. In Chile, we’ve defined the opportunity for a major expansion at our El Abra mine. As we continue to monitor regulatory and fiscal matters in Chile, we’re planning a project to invest in infrastructure, water infrastructure to provide flexibility to extend existing operations and optionality to support a new concentrator. We’re also planning at El Abra to test new leaching technologies in the near term, to evaluate the potential for expanded leach production and possibly competing technologies to a concentrator. We’re continuing our development of the Kucing Liar deposit in Indonesia. We’re really gaining a lot of efficiencies from the work we did at Grasberg Block Cave. And similar to that development, this is a long-term project. We expect to have initial production from Kucing Liar deposit towards the end of this decade. Moving to Slide 12. We provide a three-year outlook for our sales volumes. And as we talked about, we achieved two years of growth in copper sales. And currently, our forecast reflects sales in the ‘23 to ‘25 period that are similar to 2022 levels. Our mine production is actually going to be higher than our sales by about 100 million pounds in 2023 and 2024. And that is a result of our domestic processing arrangements in Indonesia where the point of sale has changed from selling concentrate to selling cathodes. And so, a portion of our production will be inventoried until it’s processed and sold through our smelters. Previously, this inventory would have been held by third-party smelters. We’ve got small revisions otherwise to 2023 guidance that reflects assumption of a continuation of tight labor markets in the U.S. That’s impacted our ability to increase mining rates. And success also in our leach recovery initiative could provide some upside in the U.S. as we look over the next three-year period. In the reference materials on Slide 30, we provide information on our 2023 sales by quarter. The reason for the drop in the first quarter reflects the impact of the tolling arrangement in Indonesia. But, you can see the balance of the year is fairly stable at over 1 billion pounds of copper sales per quarter. Moving to the cost outlook for 2023, we’re providing guidance of average cost of $1.60 per pound for the year. That compares with $1.50 per pound in 2022. We show a comparison to the two years, and you’ll see the site production cost line item is about 4.5% higher than the 2022 average. And that’s a result of assumptions that we’ve made in our forecast for higher average electricity and coal costs compared with the 2022 average and also higher power requirements, principally in Indonesia, and the impact of higher cost of equipment components, supply costs and labor cost increases. The other line items are offsetting. You’ll note a decline in royalties and duties. That really is reflective of a recent reduction in our export duty in Indonesia as a result of the smelter progress. I’ll also note that this assumes a molybdenum price of $20 per pound in 2023. The current price is $30 a pound and each $2 per pound change in molybdenum is $0.02 a pound. So, if current prices hold, would have roughly $0.10 a pound less cash -- unit net cash costs and this reflects. In recent months, inflationary pressures have been less severe than we experienced during 2022. We’re encouraged by that. And we’re going to continue to focus on managing costs that we can control. We’re continuing to pursue technology-driven enhancements to mitigate the impacts, particularly in the U.S. Getting to our cash flows, significant leverage to copper prices. We’ve got on Slide 14, we show modeled results for EBITDA and cash flow at various copper prices ranging from $3.50 per pound to $5 per pound copper. These are modeled results and we use the average of 24 and 25 with current volume and cost estimates and holding gold flat at $1,900 per ounce and molybdenum flat at $20 per pound. And you’ll see here that annual EBITDA would range from nearly $9 billion per annum at $3.50 copper, to $15 billion per annum at $5 copper. And our operating cash flows would range over these prices from $6 billion at $350 copper to $11 billion at $5 copper. And we show sensitivities to various commodities on the right and input costs. With our long-life reserves and large-scale production, we’re well positioned from future -- to benefit from future metals intensive growth trends with prospects for increasing cash returns under our performance-based payout framework. Our capital expenditure plans are summarized on Slide 15. The capital expenditures totaled $2.7 billion, excluding the smelter in 2022. We’ll note that this was lower than the $3.3 billion estimate we provided going into 2022, and that reflects lead times and our focus during the year to prioritize critical projects. The current forecast for 2023 totals $3.4 billion, and that’s a slight change from our previous estimate of $3.3 billion for 2023. And capital expenditures for 2024 are currently forecast to approximate $3 billion as spending on the Grasberg projects reach completion. We always are very careful in managing our capital cost to maintain flexibility in response to market condition, while ensuring that our investments are sufficient to support a reliable long-term production profile. Returning to the financial policy that we began to implement in the second half of 2021, it’s really centered on three priorities. The cornerstone of the financial policy is maintaining a strong balance sheet and liquidity. And that provides significant flexibility for the future. We’ve been executing on this performance-based payout. It provides for 50% of our free cash flow to be allocated to shareholder returns in the form of dividends and share purchases and the balance available to invest in our projects. Since commencing the performance-based payout policy in the second half of 2021, we’ve returned about 60% of our free cash flow to shareholders through dividends and share purchases. And at the same time, we also further strengthened our balance sheet, providing capacity for funding new projects over time. We did not purchase shares in the second half of 2022 because of the significant change in market conditions and the resulting impact on cash flows in the second half of the year. The improved market conditions will drive increased free cash flow, which will boost shareholder returns, and our future discretionary share purchases will be dependent on our cash flow and overall market conditions. We believe the three priorities of balance sheet strength, allocating cash flows to a mix of shareholder returns, and organic growth will enhance long-term value of our business. In closing, I just want to reiterate our view about the positioning for the Company, a bright long-term future supported by our attractive portfolio of assets, supported by the fundamentals of the copper business and the positive outlook for the markets we serve. Our team is energized. We’re motivated to continue building long-term value in our business and on executing our plans responsibly, safely and efficiently. And I want to thank you for your attention, and operator, we’ll now open the call for questions.
Operator: [Operator Instructions] Our first question will come from the line of Emily Chieng with Goldman Sachs. Please go ahead.
Emily Chieng: Good morning, Richard and Kathleen. And thank you for taking my questions. I would like to sort of ask around Freeport’s growth appetite. And as you think about the copper price environment and how the market is trending, has anything in your mind changed around how you view Freeport’s need to pursue or accelerate growth plans? There’s clearly been a lot that has changed in the broader macro environment as well. And I wouldn’t mind hearing about how maybe some of the leaching opportunity can play into that and what the potential annual run rate basis could look like when fully developed? Thank you.
Richard Adkerson: Thanks, Emily. With leaching, we’re not constraining ourselves to conserve capital or anything else. We’re -- we believe this is such a great opportunity for us that we are pursuing it as aggressively as we can, and we are pursuing it on a number of different fronts, some using outside vendors, some doing things on our own, some in joint ventures with companies. It’s just such a great opportunity to add production at low capital cost and with low carbon. So, it’s not something we’re constraining. The other projects that we have, and Kathleen reviewed them, we have a series of major capital projects that are multiyear large capital requirements. And for those, we are working hard to prepare ourselves for them and doing work so that we can go forward. But we are going to wait until the uncertainties that we’ve been facing recently are -- become clearer. As I said, the current sentiment is much stronger than it was three months ago, but there’s still a lot of overhang in the market, as you can see in the market today. So, we are waiting to see that our project in Chile is dependent on the direction the country goes in with this current consideration of its laws and its constitution. So, that is really going to be on hold until that becomes clear. So, we’re not preparing any major change in the first part of 2023 versus what we did in 2022.
Kathleen Quirk: Emily, on the leaching run rate, the 200 million pound target that we’ve laid out, those -- we believe that that can be attained just from these operational changes that we’re making. The heat retention, leaching in places that we weren’t leaching previously, directing the solutions to places where we can enhance recoveries really from data analytics that we’re getting that are helping us -- helping guide our operations every day. Those things we think we can get just operationally. The -- on top of that, this research and development that’s going on with respect to additives, that could scale it larger. So, this 200 million pounds that we’re talking about, we think that is really just bringing more of a light on our leach stockpiles and moving aggressively to -- over the last several years, the focus on the industry has been more on concentrating. And now we’re putting focus back on these leach initiatives, and we’ve identified some things. I wouldn’t say low-hanging fruit, but it’s achievable things that we’re doing, and we’re already starting to see results.
Operator: Your next question will come from the line of Orest Wowkodaw with Scotiabank.
Orest Wowkodaw: Just given the uncertainty out there with respect to both Chinese and ex China markets, can you give us an updated outlook on what you’re seeing from your customers? Like are you seeing any indications of slowing demand?
Kathleen Quirk: Richard, do you want me to take that? Orest, we’re not -- I mean, there’s pockets -- of course, in the residential markets there’s pockets of weakness, but there are -- we’re just continuing to see strong physical demand, we’re selling everything that we can produce. And there’s no ability for us to, at this point, produce more that customers are looking for. So, on balance, I’d say the physical market continues to be healthy, and we have -- most of our insights come from within the U.S. because we’re a very significant part of the U.S. marketplace. And -- so generally, the market is continuing to be strong, and we’re selling everything that we can produce. And if we could produce more, our customers would want it.
Richard Adkerson: Even looking back to 2022, you’ll recall, I mentioned I think on more than one conference call that there was a disconnect between even then the physical world we were dealing with, with our customers and what the market was doing. So, it has been striking as to the strength of demand that we’ve had, we had no problem selling our production. We’ve actually -- there was a shortage of wire rod in the United States that was -- where we couldn’t meet everything that was being produced. And then, with our copper concentrate customers, including China, people were buying all that we produced and actually wanting more. So, market sentiment is better now. And but our customers continue to be very positive.
Operator: Your next question will come from the line of Chris LaFemina with Jefferies. Please go ahead.
Chris LaFemina: You have $1.3 billion of net debt as of the end of 2022. Your net debt target range is $3 billion to $4 billion. So, I guess, the first question is, is that the range that we should think about, or are you comfortable maintaining net debt below that range? In other words, if you really want to get to $3 billion to $4 billion, how do you get that from here, generating positive cash flow? You can step up the buybacks, maybe accelerate returns. But do we get to a $3 billion to $4 billion range this year, or is that not going to happen?
Richard Adkerson: Well...
Kathleen Quirk: The $1.3 billion -- go ahead.
Richard Adkerson: No, I was just going to say, Chris, and Kathleen can talk about the details. When we announced the financial policy, as I looked out and I said, the likelihood is, cash is going to come in faster than we can spend it just because of the nature of our capital projects are long term. It takes a lot of time. This has happened before at Freeport. Two previous occasions in our history, we got down to zero net debt. This is setting aside the smelter because that’s financed on its own. But, what this does is by having that cushion between where our debt is and our debt target is, it will allow us to readily be able to finance future construction projects. But it’s just the way the cash flows in versus -- we don’t feel any compulsion to spend money to get the debt up to that target.
Chris LaFemina: Okay. So, should we think of it more as a net debt target of below $4 billion rather than $3 billion to $4 billion?
Richard Adkerson: Well, I think...
Kathleen Quirk: $3 billion to $4 billion is the limit. Yes, $3 billion to $4 billion is what we -- yes.
Chris LaFemina: Got it. Okay. Good. And then sorry, second question on Grasberg. You -- it looks like you’ve increased your gold production guidance for 2024, ‘25 and ‘26, but copper volumes are pretty much the same. So, is there something -- what’s happening there to result in an increase and what you expect to get out of that mine in terms of gold over those three years?
Richard Adkerson: Well, while the numbers look simple, the mine planning is complicated. And we report the results of our mine planning quarterly. And what you’re seeing there is some revisions in mine planning to optimize resource recovery. It wasn’t any target. It’s just the way that -- the way that the mineralization of these ore bodies fall out as we change future mine plans. And...
Kathleen Quirk: Yes, there was some changes between Grasberg Block Cave and Deep MLZ. And additionally, we’ve been getting higher gold recoveries than we had previously forecasted. And that’s helping us as well. So, those are the main differences.
Richard Adkerson: And it’s not a targeting it -- it’s not a targeting exercise, Chris. I mean, we didn’t do something to try to get more gold. It was just -- if we look at the orebody, we maximize the value. It’s a dynamic process and report to you the results of that process, and that’s what it is.
Operator: Your next question will come from the line of Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Good morning, Richard. Good morning, Kathleen. Very nice to hear from you both, and thank you for your time and the update today. I wanted to hopefully ask you two questions. Just one on the C1 cash cost guidance for 2023. To what extent might some of these higher costs year-over-year continue into 2024? Like what is the percentage of those that are more structural as opposed to potentially more cyclical?
Kathleen Quirk: I think you can look at -- I think you can look at the makeup of our costs. On that slide, we provide a makeup. And labor cost is something that’s kind of stays with you. Materials and supplies, a component of that is commodity driven and a component of its services driven. The energy, I think, is more variable and things like sulfuric acid is more variable. So, you can look at that pie chart and get a feel for which ones have the ability to change, and we provide some sensitivities on things like currencies and diesel costs.
Richard Adkerson: Okay. And one thing that’s -- one thing that’s a real benefit of Freeport that we say a lot. I’m not sure if this is recognized as much as it ought to be. But, we operate every mine that we have an interest in. We have joint venture partners. But unlike other operations where those joint ventures are run as a standalone business, we operate globally through our operatorship rights. And that makes us really important customers of our suppliers. We’re generally one of the very largest customers of people who provide our major supplies. And so, as those suppliers globally have been working to pass along their input cost, our global supply team working with our operations have been affected in mitigating certain of those costs. We’ve had some impact. But again, it’s a real dynamic situation and -- you saw we came in below our quarter-ago estimate. Some costs are moderating, some are carrying over, but it’s just an ongoing thing. And we give you the best outlook we have, and then we work hard to try to operate with as low a cost as we can.
Lawson Winder: And then, I wanted to follow up on your comments around El Abra and the plans to advance water infrastructure. Are you considering desalination capacity? Is that what you’re referring to there? And then...
Kathleen Quirk: Yes.
Richard Adkerson: Yes. That’s really the only alternative.
Lawson Winder: Okay. And then what would the time line be on that?
Richard Adkerson: Well, we’re working on it right now, and we’re structuring, so that we have the alternative of going forward with our current operations and maximizing those or undertaking a large-scale investment and new concentrator there. So, we’re approaching it to give ourselves the alternatives of going in either of those directions. But we wanted to get started with that because it was going to be required one way or the other.
Kathleen Quirk: Yes. And so, we’ve got to go through a permitting process on that as well. So, it’s unlikely we’ll have any material spending on it until a few years out.
Richard Adkerson: It takes time to do it. But as I said, we -- in the past, we’ve been delaying that so -- we made the decision on the concentrator expansion. And in recent months, we’ve decided we need to go ahead with the permitting for the water, desal plant, so that -- because we’re going to need it one way or the other.
Operator: Your next question will come from the line of John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Good morning. Congratulations on all the progress in the tough business. Thinking of the Slide 11 with the five projects, I realize it takes a lot of engineering resources for each of these projects. Is five sort of the maximum number or do you have time for a little more? You’re engineering El Abra, but the constitution and taxes and all that stuff is up in the year. So, that’s a big investment in time. You don’t have the Sierrita mill, Chino mill or an additional Morenci mill projects there. I know you can’t do anything -- everything. But a $30-plus moly's Sierrita new mill must be very attractive, you’re budgeting 20 and maybe lower for the long term at 15 for your reserves. Is there too much Indonesia in your CapEx and not enough Americas since you’re the biggest U.S. copper producer? And with politics, the U.S. looks better every day. I know that’s a lot of thoughts, but how you fix the projects?
Richard Adkerson: Well, no. And you know it’s a good new story to have this large pipeline of future projects, and I personally believe the world is going to need that copper. Going to your last question first, there is no relationship between Kucing Liar and projects in the U.S. It doesn’t bump out projects. It doesn’t prioritize anything. It’s something that fits right in. It will be financed by PT-FI out of cash flows from PT-FI. And it will support our volumes there through our current operating rights to 2041. We’re talking with the government about extending those. There’s opportunities for Kucing Liar beyond that. And we believe, although we haven’t been engaged in drilling exercises in the Grasberg Block Cave and Deep MLZ and who knows what else is down there because we really haven’t fully drilled to explore future opportunities. Now, John, you know the thing about Grasberg, ever since we discovered it, it keeps getting bigger and bigger and bigger. But that’s on its own, there is no effect on what we’re doing at Kucing Liar with what we do in the United States. So, we have the financial resources to do -- in the Americas, the United States and South America. So, the ones we’ve listed are the ones we believe are the largest, most significant executable projects initially. The Bagdad expansion is a straightforward doubling of mill capacity, and we’ve dealt with water issues and so forth and...
Kathleen Quirk: That will add moly as well, John -- Bagdad.
John Tumazos: It has moly, Bagdad. And the biggest problem, quite frankly, at Bagdad is getting workers. It’s just a challenge getting mine workers in today’s world who live in these remote communities where our mines are. But that’s a very executable project, it’s not that complicated. But -- and as we deal with the workers’ situation in housing, as markets clear up, that’s one that would be ready to go. As I said, El Abra is depending on the direction of the government there. Lone Star, which really looks like it can be another base level high-profile operation for Freeport in the future, we’re going to maximize it through the oxide, ore and continue to understand how we attack the big sulfide resource that we’ve identified in. Then beyond that, you mentioned Morenci, Sierrita, and there’s other older mines that we have. Chino has a growth opportunity. All those are in stages of evaluation and understanding what we have. Obviously, when you sit down on top and look at this organization, you want to be focused. You don’t want to just have a scattergun approach. But all of those things provide us growth opportunities from inside our company, which makes it very unlikely that we’ll be acquiring smaller operations to pursue externally. You can just see what’s going in the world when you have to pay a big price, you get a resource and then you put the capital on top of it. And that ends up with a very large investment to try to recover. It’s much better because we get no value today from these future resources that we have within our own portfolio. And with success in developing those, all of the incremental value goes to our shareholders and not somebody else’s shareholders.
Kathleen Quirk: John, on your question about -- sorry, Richard.
Richard Adkerson: Go ahead. No, go ahead.
Kathleen Quirk: I was just going to say your question about the molybdenum situation. We do have excess milling capacity at our Climax mine. And we’ve been operating at below capacity in recent years because of market conditions, but we have started to do a stripping campaign there that will allow us to expand production from Climax. Over time, it doesn’t require a new concentrator or anything like that. So that’s our first one -- and the incremental costs are attractive. So, we are doing that. And as Richard said, we’ve got -- we got a lot of projects in the background. But these are the ones that are strategic and that we’re focused on. The leach technology is a near-term project. And Bagdad long term -- I mean, medium term and the Lone Star major expansion longer term. El Abra, we believe, will get done. It’s a project that it’s attractive and it will get done. It’s a question of when. So, we don’t have a good view yet on when that will go forward. But this investment in some infrastructure and water is going to give us some optionality to support an expansion. So, we’ve got all our people focused on these things and we have an enormous resource base like we were saying in the U.S. where we already have established operations and community support. So, we’re in a really good position as we look forward as to what this world is going to need in terms of new copper supply. None of this can go quickly as you well know.
John Tumazos: If I could follow with one more. A few years ago, Freeport bought a drinking water system and a sewage system for Arequipa, the third largest city as you were tripling the El Abra mill and mine -- excuse me, the Cerro Verde mill and mine. And I think you might have some rail -- short-line rails, so that you don’t have as many trucks on the road. Could you just confirm that your tons per day are 350,000 to 400,000 tons a day and no mishaps at Cerro Verde? I think, there’s a lot of confusion in the press about conditions...
Kathleen Quirk: Yes. So, in the last several days, we’ve been operating -- we’ve been operating at around that 350,000 level. Prior to that, we were closer to 400,000. We’ve really been operating at 10%, 15% lower just to deal with supplies. And so, we’re watching that every day. And I’ll let Richard comment on the community situation. But in terms of operations, we’re continuing to operate, but we have limited our mill throughput just to deal with the limitations and the concerns about key supplies.
Richard Adkerson: Yes. And I’m glad you asked the question because I wanted to elaborate on what I said about Peru in my opening comments. I think all of you know that the Cerro Verde milling complex is the largest in the industry, 400,000-plus per day capacity. The tailings dam will be one of the largest earthen dams ever constructed in the history of mankind, if not the largest. And what John is referring to is a number of years ago, we did as a community project invested in a freshwater system for Arequipa, the second largest city in Peru. And then, as we were developing the expansion of the concentrator and tailings dam, we shifted away from building a new dam on the river that runs just outside of the sea of Arequipa. We come in and we built a wastewater collection and treatment system. And with doing that, we got water for our concentrator and we markedly improved the ecology of the river, and that has been very positively received by downstream farmers and community itself. And that’s really helped foster our positive relationship there. And our team there does overall good. Now, having said that, the situation in Peru is very complicated and nobody at this point can predict how it’s going to unfold. The motions are very high. The government is reluctant to use extreme steps to deal with roadblocks and disruptions and this thing in the day-to-day evolution. And so we are faced with the problems that caused us to cut back on our production rates to conserve line and other inputs so that we could continue to operate. We have the ability to house workers on a temporary basis on site. Most of our workers live in the region of the city of Arequipa, and sometimes those roads have been blocked. So, we’re prepared for it. Our team does a great job in managing things like this over time like COVID and -- but I just wanted to make the point that these concerns that people are raising are directed towards the issues with the government and not directed against us at Cerro Verde and our operations. And so far, we’ve been able to continue to operate.
Operator: Your next question comes from the line of Michael Dudas with Vertical Research. Please go ahead.
Michael Dudas: I was intrigued by your comment about labor and availability and such. I guess, you’re talking a bit more like in the U.S. But -- how much is that situation limiting -- limited your volume plans for 2023 is probably a small percentage. But is it more secular pressure of getting the qualified productive miners and operators for all your mines? Is that also going to be a limiting factor on how the industry reacts to try to move forward with the market signaling in the future, they’re going to need more supply?
Kathleen Quirk: Yes. Well, during COVID, we did have some impacts on our mining rates, and also suspended some milling operations at Morenci. And I’m speaking about the U.S. right now. And we started ramping back up in the U.S. during 2021, and that continued into 2022. And we have a situation where we currently have about something on the order of 1,300 job openings. And we’ve got typically 10,000 to 12,000 employees in the U.S. And so -- and we’ve seen a lot of turnover as well. And it’s just been a very competitive marketplace for labor, as you’ve read about it, in the U.S. And we don’t have that situation in Indonesia or in South America, but we do have competition in the U.S. with other sectors, and that’s continued into 2023 and what’s caused us to change our outlook somewhat. We could have in 2022, produced more, if we were fully staffed. And I believe that is the case again this year. And that’s why we’re making some progress on hires and we are conducting training and some of these workers that we’re hiring now are new to the industry, and so we do have to go through training, and the experience level is not what it was five years ago. So, we’re going through that process. I think it does have some implications to -- the ability to develop a mine in the U.S. is just the labor force. But we’ll see what happens. You’re starting to see some changes in payrolls and that sort of thing, and we’ll see how this unfolds. But it is a factor in our U.S. mining output.
Richard Adkerson: Yes. So, it’s broader than mining. I mean, when I talk with people to business council, business around the table, it’s a common theme you hear across many industries. And when all the COVID relief funds went out, that was a factor. I mean, face it, our work is hard work. And it’s harder to drive a big haul truck than it is to drive an Amazon or UPS or FedEx truck. So, we compete with those. We pay our people strong living wages. We’re giving people substantial increases this year. We invest in recreational facilities, try to deal with housing. It’s an issue in Colorado with our molybdenum mines. You can imagine what it’s like there. So, it’s a big issue for us. And as a result, our mine rates aren't meeting what we would like for them to meet, and that affects not only current but future production, and it’s a strategic challenge for us. But, it’s not just us and it’s not just the mining industry, but the mining industry because the nature of the work presents special problems.
Kathleen Quirk: This leaching initiative that we’re pursuing is not labor-intensive, because it’s already -- the material has already been mined. So, that’s a real opportunity for us to execute on.
Richard Adkerson: And if we -- what it opens up to us is unbelievable. I mean, we have -- Morenci the largest leaching operation in the world. It has been for years. And by enhancing the existing leaching operations using all these tools, data analytics and heat covers and supplements, it’s really amazing. But then it opens up historical leach stacks and potentially places like Lone Star using leaching to replace or minimize concentrator investments. So, it’s really exciting. It’s beyond just this 200 pounds that we’re targeting now. But with success, it’s a great opportunity for us. And it’s not a fracking deal like it was in oil and gas industry. It’s not going to turn the dynamics of the supply situation upside down. But for a company like Freeport with the leaching operations that we have and the application with success to historical leach sites and future mine development, it’s something that’s really exciting. And the great thing about it is to see the excitement of our own guys and own team that’s working on it. It’s really gratifying.
Operator: Our final question will come from the line of Bendik Folden Nyttingnes with Clarksons Securities. Please go ahead.
Bendik Folden Nyttingnes: With the revision in the mining [ore billing] (ph) in Chile at least sort of moving in the right direction, it would be interesting to get some color on what you’d realistically like to see to be comfortable with moving forward with El Abra expansion?
Richard Adkerson: Yes. I had the chance for the first time to meet the President of Chile when I was at APAC in Bangkok, and we had a very long conversation in advance of his presentation and it was really positive. And he explained to me what he’s facing, which I can appreciate, Kathleen met with him earlier. And so, like what’s going on in a lot of different countries around the world, particularly when commodity prices go up, people see the opportunity to take financial benefits through royalties and taxes and use them to meet social needs. And it’s just always a balancing situation. At one point, Chile built its whole economy on copper and was very successful. When I was talking with people in Indonesia, the Congo and other places, I would always point to Chile as an example of a country that to be successful by encouraging mining. Chile for a number of reasons, labor and now government situation is losing -- has lost and is losing competitive advantage that it once had. So, these government officials run on a platform of enhancing social programs and then they end up facing the reality of they go too far with that, what that does to their country in terms of its currency, in terms of its economic viability and investment and so forth. President of Chile understands that, and you can see that there has been a more positive tone of dealing with these issues. We’re not a real leader in Chile, although we are in the global copper business. So, we participate with the government, with other companies there and the conversations that are going on and share our experiences that we’ve had in working globally on these kinds of issues. So, the current direction is clearly more positive than it was a year ago. The President is facing a low level of popularity now. And so, it’s a question of facing reality for political leaders. And we certainly lived our -- based our share of those things. And as a mining company, you work hard to gain the trust of the politicians. If you do things the right way, you’re sensitive to their issues. You don’t try to take advantage every time you have a chance to take advantage. We’ve actually walked away from projects, because governments -- we didn’t believe the deal the government was offering us was sustainable long-term deals. And that’s proved out to be the case. So it’s a complicated deal, big part of a business for the leader of a company. And you’ve got to -- as I said, listen, be responsible, and work to find middle ground so that it’s a win-win deal and you’re not taking advantage of anyone and you’re representing your stakeholders. You’re not letting somebody take advantage of you. And that’s what Chile is going through. I believe that the reasonable compromise will be reached because it’s in everybody’s interest for that to happen.
Kathleen Quirk: We’ll also be looking at the -- how the constitutional process advances this year. And it appears the financial package is moving forward and they’re reaching some determination, looks as if that’s progressing. But we also want to look at how this constitutional process unfolds as well. And in the meantime, we’re maintaining our options by planning to move forward with the water infrastructure investments.
Richard Adkerson: And you know, I can’t let this call go by without telling you how personally pleased I am with our much improved relationship with the government in Indonesia, where we had a multiyear discussions, negotiations over our mining rights in our contract and so forth. It’s just been remarkable what’s happened in the last six months, I made three trips there. We had -- the President had an incredibly positive visit to our job site at the end of August, early September. He asked me to accompany his investment minister and Kathleen was there, too. We did a university road trip and then -- but the two of us went back for the B20 part of G20 and got to see the President and others and it’s just the -- and then APAC and Bangkok. It’s just a great feeling to feel that we’re all altogether now working to -- for the benefit of all the stakeholders and having the success we’re having on the ground at PT-FI. All right…
Operator: With that, I will turn the call over to management for any closing remarks.
Richard Adkerson: All right. I was starting that. Thank you everybody for participating today. And you know we’re always available for follow-up calls. You can call David initially and he can make arrangements to talk with Kathleen or me or whoever we need to bring into conversation. Thank you for your participation. It’s great to have a quarter like this, and we’re really excited about our future.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for joining. You may now disconnect.